Operator: Hi. And welcome to the VivoPower Investor Update. I will shortly be handing you over to Kevin Chin, who will take you through today’s presentation. There’ll be an opportunity to queue up later on the call.  And now I’d like turn to Kevin Chin of VivoPower.
Kevin Chin: Thank you very much. And welcome everyone to the VivoPower results presentation for FY’20. Thanks for taking the time to join. I also have together with me on the call today, my colleagues on the Board, Matt Cahir, who is based just outside of Washington D.C. I have Michael Huey, who is based in Brisbane, Australia; Bill Langdon, who is based in New York; and Peter Jeavons, who is based in London. We’re going to open up for Q&A later on, so please keep your questions until then. There’ll be ample time for that. What I propose to do now is to step through a presentation that was circulated before the markets opened this morning and I don’t propose to do a [indiscernible], but we’ll touch on the key points. So without further ado, let’s get stuck into it. Going to page two of the presentation, which is the executive summary. For the past 12 months, we recorded annual revenues of $48.7 million. This was driven largely by growth in Aevitas, which is our Critical Power Services business in Australia. We would have done a lot better but for the very strict COVID-19 lockdown that Australia has had, which were from the middle of March until after the end of June, which are traditionally the busiest months of the year for the company. That being said, we haven’t lost any of that work, that’s just [led to the right] [ph] into FY’21 and so far in terms of how activity has gone, things have certainly picked up for the Australian operations. Our gross profits were up 28% versus prior year, part of that is from margin improvements. So of that 200 basis points really down to some better pricing strategy in relation to the businesses in Australia. We were also able to get Group overheads down further by another $1.7 mills in FY’20. So since 2017, when we IPOed overheads are now down 17 odd percent, reflecting very much a new culture in terms of a lean management and a capital efficient [infrastructure] [ph]. Pleasingly Aevitas was able to reduce their overhead, notwithstanding the revenue growth, strong revenue growth that they’ve achieved. All that is translated into an underlying EBITDA turnaround for the year, so from a loss last year of negative $3.8 million, we were at $3.9 million in the FY’20 year. This does excludes restructuring and other non-recurrent charges. We were still contending with and paying for litigation associated with former CEO that went to trial in the U.K. back in March. That’s fully provisioned for in terms of a potential outcome. Our goal very much this year is to have less noise and a much cleaner EBITDA and profit number going forward. The balance sheets, cash has declined $2.8 million versus $7.1 million as of the same time last year and that reflected two things. So one is the working capital drawdown for growth in Aevitas, plus also we did experience some sharp slowdowns in the past collections during the COVID-19 lockdowns particularly in Australia. That’s certainly improved after year end. Net debt increased to $23.1 million and that reflects the reduction in cash balance, but also continuing support from the major shareholder, of which I’m the founder and the Chairman as well. So this business where we are making sure that to protect it and ensure that it’s well-positioned for growth. And speaking of growth, this is perhaps the main focus of attention, which is the strategic pivot to what we’re calling a sustainable energy solution, which also includes the addition of electric vehicles to our business. And just to be very clear about that, that’s not something we’ve done recently, we’ve spent the best part of 12 months very much focused on strategy and identify really the EV opportunity is [still licensed] [ph] to our existing customer base. So part of the, I guess, the hidden value of Aevitas [indiscernible] critical power services business in Australia that it has over 700 active customers and then our service will be physically located in the [indiscernible] industrial belts in Australia. Pretty much all of those customers has [indiscernible] peoples, the mining and/or [indiscernible] purchase and it’s really true that engagements with some of those customers where they’ve expressed an interest in electric vehicles, so the decision to pivot to an EV spend and related battery strategy has come about. I’ll talk about this further when I get to the page, but the key differentiator with our VivoPower EV strategy is that it’s a focus on delivering a holistic three-pronged sustainable energy solution. So that comprises three elements. One is EV and battery leasing. So we really want to make the decision to change the EVs for our customers an OpEx one not a CapEx one. And that makes it easier to sell that solution to them. Two is, we can’t really do this without retrofitting the premises of our customers and I am talking about the warehouses and the depots. And I learned this the hard way, I have a Tesla myself in Australia and when - I think it was number eight in the country when I bought it in 2015. What I didn’t realize until after the fact was that I had to spend a bunch of money retrofitting my house to have the charge capability to effectively charge the Tesla at nighttime and if I didn’t do that, I would have blown up my house, because most Australian, in fact, pretty much all Australian premises, if you will are not designed for the load of EV, so there is a significant opportunity to not only sell the EV solution but to retrofit the premises with not just charge capability but electrical circuitry that is capable of charging fleets of electric vehicles. And that’s potentially as big as the EV market -- addressable market itself. The third element is EV battery second life applications. So what’s really interesting about batteries that are used for electric vehicles is that they reach the end of their useful life in terms of an electric vehicle battery, but there’s still significant value and charge capability in the battery after they’ve reached the end of that useful life. And so, for example, and you can research this, the first-generation Nissan LEAF vehicles in Japan, the batteries for those have been taken out and are now being repurposed to be used to charge 7-Eleven stores. So this is why I say it’s the focus not just on the electric vehicle, but also the heart of the electric vehicle, which is the battery and there is value in the afterlife if you will, following its use an electric vehicle battery. I’ll unpack further as we get to the slide on the strategy, but I just wanted to keep those key points, and obviously, I’m happy to address any questions in the Q&A. Turning over the next page, a set of Board of Directors is however online. We changed the Boards back in June. Really in preparation for the strategy pivots. If you think about what I’ve just talked about in relation to EV and batteries, ultimately, this is not a hardware business. This is a software and data business. And on the Board, we have beefed up technology and software capabilities. So all of Matt, Michael, Bill and Peter, have extensive experience and track records in either turning around software businesses in enterprise software sales and building business models and leveraging software for data. So it’s a fit for purpose Board and in terms of the strategy that we have going forward. In addition to that, we have a leadership team that has been in place for a while, Matt Davis in Australia; Phil and Adam doing good job down in Australia as well. Matt Cahir is running points relation to the U.S. operations. And James is our Group Finance Director, obviously, been very busy for the last few weeks and recently have been promoted to the role. So there’s good [indiscernible] across the business, and I guess, just as a reminder, this is a business that generates revenue, makes money, we’re trying to make more money and we’ll come to how -- what the implications of that strategy and model is for the EV side of the business. Going on to page four, so these numbers are pretty much self explanatory, I have talked through them. So its improved year-on-year, would have been better, but COVID very much have strong tailwinds in place for the business and it’s -- as we all know increasing appetites as a result of COVID in renewable energy. So we’re seeing that across the boards in terms of our customer base, as well as governments being supportive of initiatives to go green. Page five and page six are pretty much reconciliations to how we’ve come up with statutory, as well as adjusted earnings. Happy to take any questions on those. And then on page seven, a quick snapshot of the key line items for the balance sheets. Again, don’t propose to go through this in detail, but happy to take any questions during Q&A. Page eight, I’ll make a comment -- a couple of comments on this page. As I mentioned, there are over 700 active government’s commercial and industrial customers for Aevitas business unit, and as you can see, from the charts on the right-hand side, there’s a big portion of mining, infrastructure, agriculture, municipalities, in terms of the customer base. All of these types of customers have fleets and have fleets of light electric vehicles, which principally are pickup trucks as they’re called in the U.S., in Australia they called utility vehicle, so utes in short. The tailwinds for this business remain strong. As you’ve seen, for some announcements, we’ve continued to win contracts. The team is very much focused on delivering those scheduled work that slips out to the right as a result of the COVID delays, but also on winning and servicing new work. The tailwinds continue be strong infrastructure spend, we expect to increase further from the Australian federal and state governments. In fact, on Friday, the Prime Minister of Australia was actively trying to cajole their state governments to spend more and commit more to infrastructure spending. And final point on this slide is that this business is really a key to future strategy involving electric vehicles and batteries. Because this business already does critical power services for data centers, for mines, every day that a mine is not working is significant in terms of opportunity, cost of loss revenues and profits. Obviously, with data centers, it is absolutely critical that there’s no downtime. And also, another segment that’s serviced increasingly by Aevitas is the hospital and aged care facility sector for which, again, there’s very little margin for error in terms of downtime with respect to your electrical power. So this business is very well experienced in terms of being able to fulfill the second elements of our new strategy, which is to retrofit premises to accommodate a move to fleet electrification. And, as I said, the 700 odd active customers is where we’re going to be focused on in terms of selling that solution in the first place. On page nine, just some quick comments on the U.S. operations. Just stepping back, overall, we’ve been a very focused on a turnaround plan for VivoPower over the last 12 months. We actually intensified our efforts during COVID and switch to what we call hyper turnaround modes and team’s been working very hard and achieved what we set out to achieve on that front. One area where there’s still work to be done is in relation to the US solar portfolio. So what we have achieved and this is really credit to Matt Cahir on the call is to attain control of the Board and management of that US solar project from our joint venture partners. It’s fair to say that that hasn’t been beneficial for us, since we entered into that in April 2017 and without crossing any lines in terms of legal boundaries. What we can say is that we have an offer on the table to receive the 50% of the joint venture we don’t currently own economically for a dollar and that’s conditional upon VivoPower for going any claims against the joint venture partner. As of today, we have not accepted that offer. We are wanting more than that. But if we were to accept that you can see from on the right-hand side, there is a step up as far as the value inside that portfolio consent. So this is still very much in turnaround mode, and obviously, with what’s happening in terms of solar in the U.S., there’s a strong rebound in FY’20 in the markets is an opportunity to increase the value of this portfolio further and monetize it in future and we would redeploy cash from that into our new EV strategy. Coming to Australian solar developments on page 10. This was also impacted by two things really. So one is there was a fair degree of policy uncertainty in Australia, which results in delays and regulatory approvals for Australia development projects. And then COVID hits -- COVID lockdown hit rather and that again delayed things further. As with what’s happening in the rest of the business, there is continues to be strong tailwind, so expect those delays to be really temporary in nature. And there’s been further government initiatives introduced as a result of COVID to promote more renewable investment. The really interesting thing about Australia is that battery storage is pretty much economic across the whole of Australia now and that -- that is another reason we have pivoted strategy to electric vehicles and battery storage. We expect to complete our first battery development projects this year, should have some good news on that front to announce soon as well. Page 11, so just unpacking a bit further in terms of the EV strategy, so as you can see from the diagram on the right. It’s the three R’s, renting electric vehicles to our customers, not selling hardware, per se. Retrofitting the premises for our customers that they are able to effectively embrace enable fleet electrification strategy. And then to reuse the batteries after they have completed the useful life EV batteries. So there’s still value in them to be monetized. There are five elements to our EV strategy, which I want to go through now. So one is a focus on the pickup trucks or the utes segments. And in Australia, we estimate this to be conservatively worth about $12 billion in terms of the fleet that’s out there. That’s growing by gross amounts $2 billion per annum. Some of that is obviously to replace existing fleet that sits within that $12 bill and the market is growing at 6% per annum. As I mentioned, the majority of that is in the mining and infrastructure segments of the market. And on that note, our focus is on mining and infrastructure initially. Part of the reason for that is that it’s not a space that anyone’s really focused on in terms of EV players, but it’s probably the space where the economics stack up immediately. So just to give you some sound bites, when you have a mind that’s in the middle of nowhere in Australia or for that matter anywhere in the world, your vehicles are powered by diesel. The cost of diesel in a remote location in Australia is 2 times to 3 times higher than street diesel. So it is already economic to embrace the electrification of your fleets. The second I think dynamic is that off-road usage of utes pick-up trucks results and more damage to them. So on average for mining utes, they last for three years. And then they basically are replaced in full. So there’s active replacement cycle that is faster than what it would be for traditional road usage purposes. It’s clearly safety advantages as well. So for underground mines in Australia, the rule is that if the gas levels are too high then they are measured daily, then they stopped production. Because you can’t drive anything that’s powered by diesel into the mines, you blow the place up. So again, there’s a compelling reason from a safety perspective. There’s a compelling reason from a cost perspective. And I think these are very important commercial drivers. It’s not sufficient to sell a green solution because we want to save the planet to our customers. They want to know that it’s got an economic benefit and that is clearly demonstrable in terms of the mining and infrastructure sectors of the market. So, just to recap, focus number one is pickup trucks utes, focus number two is on the mining infrastructure sectors, focus number three is on Australia initially. So Australia is the fourth largest pick-up truck market in the world. And it’s actually -- the utes as it’s called down under is actually the most popular car in Australia beyond just commercial applications. It’s part of the Australian culture, again, you can Google that and see that that’s the case. Secondly, Australia is the biggest mining market in the world. So in revenue terms, we ranked ahead of Canada, which is another two spots. Third is the U.S. and fourth is China. So we want to basically focus on our backyard that we know well, where we have 700 odd active customers and we know our customers beyond that through context before setting myself and that is going to be the quickest route to market, revenues and profits for us. The fourth focus is on the customer and this is where this holistic sustainable energy solution comes into play. It’s not enough just to sell the electric vehicle solution. We have to sell the battery. We have to sell premise retrofits. We have to sell the residual value solution for when the electric vehicle that’s been thrown around in mine for three years needs to be replaced. So how can we best deliver value to a customer at that point by taking the battery often, okay -- taking the utility vehicle often, taking the battery out be using that and in essence repeating the cycle with that customer for the next fleet generation. The last focus, the fifth focus is on capital efficiency. So we’re not going out to build existing -- build new tech, the tech already exists out there. What we have focused on is really identifying and nurturing the market and testing whether the market is ready to embrace the solution. And the answer to that is yes. This is a customer driven strategy, where the economics the cost benefits stack up to the customer. And what we will do is we will either partner with and/or acquire an existing player that’s able to do the electrical vehicle retrofit solutions for what we want to service our customers with rather than spending a whole bunch of money on R&D, if not necessary. And in addition to that, as I said, we already have a profitable business. We have an unmonetized portfolio of solar projects. The intention would be to recycle that into this business to drive growth. The third element is that this is not a building they will come strategy. This is very much driven by orders from our customers. So when we get an order is when we will ramp up in terms of same in terms of production in terms of capability to service our customers. So that’s the five elements in terms of focus for this EV strategy. So for FY’21 what is our primary objective? Our primary goal is to consummate our first EV and sustainable energy solution orders. Obviously, in terms of announcing this, we are very confident that’s going to happen in short order. And what we’re going to do also is to build up ourselves customer service and technical teams to augment the existing critical power capabilities within Aevitas. That means bring on people who have experience and track records in EVs, in batteries. I am pleased to say that we do have people lined up, ready to go and we’ll announce that in due course over the coming weeks. As mentioned, we are open to joint venture, as well as acquisition options, and we’re not going to be spending huge dollars on one. But again, it’s a very strategic targeted focus to fill out any gaps that we have in terms of delivering on the strategy. Coming to the last slide, so we always set out the key objectives for the year ahead and scorecard ourselves on hitting those. There’s always six. So first one, as I mentioned is win new EV and sustainable energy solution customer orders. Second one is to continue to scale up the Aevitas business unit, which is a growth engine in and of itself without the pivot to EV. It’s obviously an enabler of the EV strategy, certainly to transform the U.S. solar project portfolio. That’s still a turnaround assignment and we have a bunch of work that we have to do now that we’re in hot seats from a development and management perspective. The fourth one is to grow our Australian solar and battery pipeline. We want to complete the development of our existing solar projects profitably and monetize those. We want to expand our capabilities into battery storage solutions, which we are -- as I said, we hope to announce something soon in that regard. Our intent is continue to build a pipeline of new and existing customers, this business will really dovetail with the EV side of things, because it’s taking you back to the scenario of a mining customer. So they go, yes, we want electric vehicles, we can see the safety benefit, exceeded cost benefit, but how are we going to power these things out in the middle of nowhere? So clearly what needs to happen is micro grid needs to be built next to the mine to effectively act as the charging stations for this fleet. And by virtue of what we’ve done in Australia solar we have the capability and experience. Fifth element is to optimize capital management and this will see us focusing on monetizing all the projects that we have in Australia, as well as the U.S., and as I said, to reinvest that capital and scaling up the new EV and sustainable energy solution strategy. We want to sort of optimize the Group balance sheet composition, as well as cost of capital. I think there’s further room for improving the efficiency of that. And last but not least, is continue to maintain our culture of lean and sustainable ethos [ph] focus and being efficient in terms of CapEx and OpEx, as well as, our B Corp, so we want to further increase our B Corp score just through continuous improvements in terms of governance around the business as well. That’s the presentation. Thanks for again listening to that. I want to open up to questions.
Operator: Thank you. [Operator Instructions]
Kevin Chin: No question.
Operator: Yeah. It appears there’s no question. So I’ll just hand it back over to you for any closing comments.
Kevin Chin: Okay. Well, thanks again for taking the time everyone. I appreciate you joining. Thanks to the team members who are on the call. It’s been a lot of hard work in terms of the hyper turnaround to-date. We’re now embarking on our different phase in terms of hyper scaling. We’re sure there’ll be challenges but I think we’re in the right place at the right time and it’s all about execution from here. So I expect to share news as it comes out of the coming weeks and months. Thanks again, everyone, and stay well. Bye-bye.
Operator: This now concludes today’s call. Thank you for joining. You may now disconnect your lines.